Operator: Good day, and welcome to the Legacy Education, Inc. First Quarter Fiscal Year 2026 Earnings Conference Call. Today's call is being recorded and broadcast live. It will also be archived on the Legacy Education website for future reference. To kick off the call, I will turn it over to Nicole Joseph, Senior Vice President of Legacy Education, Inc. Nicole, please go ahead.
Nicole Joseph: Thank you, and hello, everyone. Legacy Education has issued a news release reporting its financial results and corporate developments for the first quarter fiscal year ended September 30, 2025. The release is available in the Investor Relations section of our corporate website at legacyed.com. With us today on the call are LeeAnn Rohmann, Chief Executive Officer; and Brandon Pope, Chief Financial Officer. On today's earnings call, statements made by Legacy's management regarding the company's business, which are not historical facts, may be forward-looking statements as identified in federal securities laws. The words may, will, expect, believe, anticipate, project, plan, intend, estimate and continue as well as similar expressions are intended to identify forward-looking statements. Forward-looking statements should not be read as a guarantee of future performance. The company cautions you that these statements reflect current expectations about the company's future performance or events and are subject to a number of uncertainties, risks and other influences, many of which are beyond the company's control. That may influence the accuracy of the statements and projection upon which the statements are based. Factors that may affect the company's results include, but are not limited to, the risks and uncertainties discussed in the Risk Factors section of the annual report on Form 10-K and the quarterly report on Form 10-Q filed with the Securities and Exchange Commission. Forward-looking statements are based on the information available at the time those statements are made and management's good faith belief as of the time with respect to future events. All forward-looking statements are qualified in their entirety by this cautionary statement, and Legacy undertakes no obligation to publicly revise or update any forward-looking statements, whether as a result of new information, future events or otherwise after the date thereof. I will now hand the call over to LeeAnn Rohmann, CEO of Legacy Education. LeeAnn to you.
LeeAnn Rohmann: Thank you, Nicole, and good afternoon, everyone. Welcome to Legacy Education's First Quarter Fiscal Year 2026 Earnings Call. I'm joined today by our Chief Financial Officer, Brandon Pope. We are pleased to report a strong start to fiscal 2026, building on the transformative momentum of 2025, a year of record enrollment, robust financial performance and strategic progress that solidified our leadership in the high-demand allied health education sector. Our growth is accelerating, driven by the nation's urgent need for skilled health care professionals and our proven ability to deliver job-ready graduates through innovative hands-on programs with chronic shortages in fields like nursing, medical assisting, ultrasound technology, cardiac sonography and MRI, where hospitals and clinics are actively seeking talent. Legacy Education is at the forefront, capitalizing on this structural demand to expand our reach and impact. These are not just careers. They are essential roles that require human empathy, precision and expertise, qualities we instill in every student, preparing them to meet the needs of a resilient and growing sector. Our Q1 results reflect disciplined execution and the effectiveness of our growth strategy. We delivered meaningful year-over-year improvements across key metrics, revenue, enrollment, EBITDA and EPS while making targeted investments to expand capacity and program offerings. This performance confirms that we are starting the fiscal year on track, beating our internal projections and leading with strong momentum and a clear path to sustained value creation. Let me walk you through the highlights. Revenue grew 38.5% to $19.4 million, driven by a 31.6% increase in new student starts to 1,117 and a 37.7% rise in ending student population to 3,495. This is an all-time high and a clear sign of strong demand and the success of our enrollment initiatives. Importantly, this growth represents our 13th consecutive quarter of double-digit revenue growth, and it does not yet even include the contributions from the 4 new programs that we have recently received approvals. Adjusted EBITDA rose 9.6% to $3.1 million, with a margin of 15.9%. The year-over-year decline in margin reflects deliberate front-loaded investments in growth and nonrecurring charges, which Brandon will detail shortly. Net income increased 4.6% to $2.2 million. Diluted EPS was $0.16 compared to $0.21 last year. This was impacted by the increase in diluted shares from 9.8 million to 13.9 million, following our September '24 IPO. On a normalized share count, EPS would have been $0.22, demonstrating the underlying strength of our earnings. Now let's talk about accounts receivable. In Q4 of fiscal '25, we recorded a $700,000 reserve for graduated borrowers who had fallen behind on payments, a conservative, transparent action to strengthen our balance sheet without writing off the receivable. We committed to you a quarterly write-off and reserve analysis to improve visibility and control. We delivered on that commitment. This quarter, we recorded $178,000 reserve. That's 0.9% of revenue, exactly in line with our expectations. We've enhanced our collections process through executing a partnership with well-known collection company, Williams & Fudge. We are doing weekly AR reviews and a proactive borrower outreach and support to our graduates exactly what we've been doing with our active students in-house. The delinquency trends are stabilizing. We are seeing the improvement in the collections and AR is under control with no anticipated surprises. This disciplined approach reflects our commitment to financial rigor and long-term shareholder value. Moving to our taxes. Last year's tax estimates created some variability. But this quarter, we reported an effective tax rate of 26.5%, better than the annual estimated 29.4%. This benefit was a result that was tied to employee stock option exercises following our IPO, an advantage that we anticipated and now realize. Taxes are stable, they're predictable and aligned with our projections, reflecting enhanced financial governance and operational maturity. As I move to margins, this quarter reflects strategic investment for long-term growth. Adjusted EBITDA margin was 15.9%, down from 20.1% a year ago. This reflects strategic front-loaded investments and 4 new programs approved and not yet launched this quarter. Three of those are degree programs and one is a certificate in high-demand fields, including MRI, cardiac sonography, surgical technology and sterile processing. These investments included curriculum development and regulatory approvals, faculty recruitment for hiring subject matter experts from the field, simulation lab and facility upgrades, surgical tech and sterile processing lab, ADN continued program enhancements and new finance leadership. That's our new controller. Annual investments and professional development and training for our exceptional instructional leadership and staff to conduct quality education training that gets our graduates jobs. Educational service expenses rose 53.2% of revenue from 51.4%. This is a reflection of our unwavering commitment to clinical quality and hands-on training. G&A expenses increased to 31.5% from 28.3%, but this is driven by professional services increase, audit, legal, compliance and M&A-related valuations, all nonreoccurring. Brandon will share more detail when I turn it over to him. Additionally, under G&A expenses, marketing investment up 15% to $1.6 million. This is driving enrollment and the launch of the new programs. And then additionally, in G&A, D&O insurance and bad debt reserves tied to the revenue growth, and it's all in line with projections. These are not cost overruns. They are strategic investments in capacity, compliance and market reach. All these programs scale and fixed leverage costs. We expect margins to expand sequentially throughout the year. This is our playbook for sustainable high-return growth and a resilient sector. Our balance sheet, it remains a competitive advantage. We're cash-rich, low debt and high liquid. We are well positioned to fund organic growth, pursue accretive M&A and navigate any environment with confidence. Operating cash flow was positive but lower year-over-year. This was simply due to the timing of our Federal Title IV disbursements. It's a function of the enrollment cycles and regulatory processing, completely unrelated to the government shutdown. Student collections remain strong and growing. CapEx was $200,000 with a targeted and high ROI. Our liquidity position is robust. Cash flow dynamics will normalize as disbursement timing aligns in our future quarters. As I turn to our strategic developments and milestones, the allied health sector is defined by the enduring human need, not disruption. Technology can assist in diagnostics, it cannot replace the nurse at the bedside. AI can streamline workflows. We're taking advantage of that internally, but it cannot perform a sterile procedure with precision and care. Data can inform decisions, but it cannot build trust with a patient in crisis. We are training the professionals who deliver that care. The demand remains structural and unrelenting with more than 200,000 nursing openings annually through 2031, growing shortages and medical assisting, sonography and sterile processing, just to name a few. Health care systems actively seeking job-ready graduates. We are meeting that demand with precision. Our key achievements, I am so thrilled to share with you that Contra Costa Medical Career College that we acquired in December of last year is now over 500 students. We have been able to secure our vocational nursing program approval so that their nursing program is aligned with our legacy standards and programs. We have additional new program approvals, MRI, Associates of Applied Science, Cardiac Sonography, Associate of Applied Science at Central Coast College. Similarly, Surgical Technology Associate of Applied Science approval at High Desert Medical College, it's Lancaster, it's Bakersfield and [Temecula] Campuses. Sterile processing technician certificate program at our Integrity College of Health and High Desert Medical College, Lancaster, Bakersfield and [Temecula]. These are all new program approvals that we've talked about that we have secured and that we've been making the investments in order for you to see those in the future quarters. Additionally, RN program approvals are in active pursuit across several more of our campuses. Our Advisory Board is providing strategic guidance and telehealth integration, AI-assisted diagnostics and hybrid training models, ensuring that we are leveraging innovation to enhance, not replace the human-centered care. We're preparing our graduates to respond to the changes that are occurring. The graduate placement rates remain above the industry standard and our graduates are placed within 6 months. We are incredibly proud of that, and it's a testament of the program quality and the employer alignment. These milestones reflect our operational excellence that we are constantly and continuously striving for as well as a deep commitment to our outcomes for our students, for our employees, our shareholders and the communities that we serve. With that, I'm going to turn it over to Brandon for a detailed financial review. Brandon?
Brandon Pope: Thank you, LeeAnn. I'll review the first quarter results with year-over-year comparisons, then discuss our balance sheet and cash flow. First quarter 2026 highlights include revenue increased to $19.4 million, up $5.4 million or 38.5% from $14.0 million last year, driven by a 31.6% increase in new student starts to 1,117 students from 849 students last year, resulting in a 37.7% rise in ending student population to 3,495 as LeeAnn mentioned, an all-time high. EBITDA increased to $2.8 million, up 2.5% compared to prior year. Adjusted EBITDA increased to $3 million from $2.8 million from prior year, representing an increase of 9.6%. The effective tax rate was 26.5% compared to 28% in prior year. This improvement is based upon our estimated annual effective tax rate of 29.4% less the impact of stock option exercises within the period in which they receive the tax benefit. As LeeAnn mentioned, we improved our practice to review our effective tax rate each quarter as opposed to simply annually. Net income increased to $2.2 million or 4.6% increase from $2.1 million last year. Diluted earnings per share was $0.16. However, on a comparative share basis, diluted earnings per share would have been $0.22 compared to $0.21 per diluted share last year. Now turning to expenses. Educational services expense was $10.3 million or 53.2% of revenue compared to $7.2 million or 51.4% of revenue in prior year. This increase as a percentage of revenue of 1.8% is primarily attributable to enhancements in the ADN program, new program approvals, new hires, externship fees and noncash compensation. General and administrative expenses were $6.1 million or 31.5% of revenue compared to $4 million or 28.3% of revenue. The increase as a percentage of revenue of 3.2% is primarily attributable to increases in the first quarter period costs relating to audit, legal, regulatory acquisition valuation costs, representing approximately $742,000 compared to $423,000 in prior years. These costs relate only to the first quarter when these activities occur. Additional increases as a percentage of revenue are in the areas of marketing to support new programs, D&O insurance due to being a public company and the increase in bad debt expense. Bad debt expense as a percentage of revenue increased 0.9% of revenue or $178,000 due to our quarter write-off and reserve analysis and consistent with our projections. Now turning to the balance sheet and cash flow. Cash, $20.6 million. Accounts receivable was $17.6 million compared to $15.1 million in prior year or year-end specifically. The increase is primarily attributable to increase in student population as well as timing of Title IV disbursements. AR reserve was $1.9 million or 9.5% of AR compared to $1.6 million or 9.8% of AR at year-end, consistent with our quarterly reserve requirement process. Current assets were $40.9 million, total assets were $72.1 million, current liabilities, $15 million and debt was $700,000. And finally, stockholders' equity was $43.7 million. And returning to cash flow. Cash provided by operating activities was $1.1 million compared to $3.2 million last year, primarily due to Title IV disbursement timing. Cash used for investing activities was $300,000 for both periods relating to investments in program expansion and technology. The cash used from financing activities was $500,000 related to paying off of an equipment lease in the quarter compared to cash provided by operating financial activities of $8.3 million related to the IPO of last year. Overall, we have a very strong balance sheet and positioned well to execute on our strategic strategy. With that, I'll turn it back over to LeeAnn.
LeeAnn Rohmann: Thank you, Brandon. Looking ahead, we are focused on 4 strategic priorities: continuing the enrollment momentum. We are going to be driving organic growth by scaling our digital marketing, deepening our employer partnerships and expanding our high school outreach. We have curriculum expansion and in particular, full rollout of the new programs in cardiac sonography, surgical technician and sterile processing, all aligned with the employer demand. As we look at our operational innovation, we're continuing our advancement of our hybrid model delivery with simulation technology, clinical partnerships for superior outcomes, and we remained committed to a disciplined growth to leverage our $20.6 million in cash and our legacy Board to evaluate accretive M&A opportunities. Compliance and regulatory. We are operating in a highly regulated environment, and compliance is not just a requirement, it's a core competency and a competitive advantage for us. Title IV disbursements in Q1 were impacted only by normal timing variations unrelated to any government shutdown or the Department of Education staffing changes. Recent reductions in federal workforce have no material impact on our operations. Our programs are accredited. They're approved and fully compliant across all jurisdictions. We're offering programs AI can't replace. We remain robust with internal controls. We are performing regular audits and proactive engagement with regulators, ensuring 0 disruption to funding our program delivery. In fact, as policy shifts and workforce challenges at the federal level only underscore the critical importance of our mission and what we do. The private sector led by institutions like Legacy is stepping in to rapidly train the job-ready allied health professionals where public systems cannot keep pace. Hospitals don't want to wait for policy. The clinics don't pause their hiring. They need graduates now, and we deliver them with industry-leading placement rates, employer-aligned curricula and a compliance culture second to none. The resilience combined with growing bipartisan support for workforce development funding positions legacy to thrive regardless of the regulatory backdrop. We expect sequential margin improvement as investments mature and revenue scales. And a sector supported by strong policy tailwinds and structural demand, our compliance strength, program quality and financial discipline position us to deliver sustained growth and shareholder value. Let me share a story with you that represents exactly what we're doing. A recent graduate from a medical assisting program in Lancaster, a first-generation student and a working mother, completed her flexible -- our flexible hybrid curriculum while balancing her family responsibilities. She passed her certification exam on the first attempt and secured a full-time clinic position within 2 weeks of graduation. That program took her less than 9 months for her to complete. And today, she leads patient intake, trains new staff and provides stable support for her family. This is the legacy impact, one graduate, one career, one community at a time. I want to thank you for participating today, and I want to turn over to the operator now for questions.
Operator: [Operator Instructions] And the first question comes from the line of Mike Grondahl with Northland Securities.
Mike Grondahl: Nice quarter. I wanted to ask about the 4 new programs. I think they roughly started in October. Could you talk about how they started and sort of what capacity they have over the next, I don't know, a couple of quarters?
LeeAnn Rohmann: So Mike, in terms of as we -- I know that these questions are coming in terms of they are starting in our second quarter. The capacity for these are -- these degree granting programs enroll 20 to 24 in each of the approvals and the locations. We can start them both in the morning and in the evening, and we are excited to see the response that we have benefited from the marketing efforts that we incurred through the first quarter marketing efforts that we've seen. Sure. Very excited.
Mike Grondahl: Any sense of I guess, break it down a little, if you can. There was 4 programs and everyone started a morning and an evening class. Like incrementally, did this add 50 students, 150 students?
LeeAnn Rohmann: It didn't add any into the Q1 results. None of those have been realized yet. They will be in Q2 and Q3 and beyond.
Mike Grondahl: Got it. Got it. And then how is the acquisition pipeline looking? Are you spending more time there, less time there? Any color would be helpful.
LeeAnn Rohmann: Yes. The acquisition pipeline remains strong. We have several that have been elevated to the Board level in order for us to really ensure that we are targeting the right plan for us is how we are driving to remain in California as well as to extend outside of California. So our real goal has been, as I've said in the past, that we've done all single campus acquisitions. We're looking at multi-campus acquisitions, both that would reside inside California and outside of California. And we're on track and on pace for the timing for which we are hopeful to be able to announce the next one.
Mike Grondahl: Is that roughly the next 6 months? Or how do you see that playing out?
LeeAnn Rohmann: That's how we actually talked about it in the last call and what we've shared in the past is, yes, within this fiscal year.
Operator: The next question comes from the line of Jeffrey Cohen with Ladenburg Thalmann.
Jeffrey Cohen: I think I just have 3. So I guess, firstly, are you nearing being capacity constrained with the existing buildings and facilities? What kind of total patient population can you handle at this point?
LeeAnn Rohmann: So we have some of our -- like a lot of our campuses are ranging upwards of 700 and 800 students per campus. in the existing ones that we've had. In those campuses, those are where we also have leases that will be expiring in the next 12 to 24 months. And so we are taking all of that into consideration as we are doing our lease renewals and expansion to do this in line with where we see that the increase in capacity will be needed. We're benefiting a lot from the hybrid delivery of the programs. Many of our degree granting programs start their first 6 to 9 months in their general education courses, those are all online, and they don't need to come to the campus for anything. It's post to that 6 to 9 months, that's when they'll start coming in for their laboratory interactions and the things that they do for showing up on the campus a couple of days a week.
Jeffrey Cohen: Got it. Sorry, I meant students, not patients. Okay. Secondly, can you talk about the placement side the Legacy? Is Legacy itself in touch with ASCs and physician offices and hospitals directly?
LeeAnn Rohmann: So our placements in terms of we continue to add for our clinical as well as our external placements. We are reaching out to both local facilities and partners in the community. Many of our partnerships are hospitals and facilities like RadNet, like Sharp, health care systems, like Scripps, these particular locations and facilities, they take our MAs, they take our nurses, they take our MRIs. They're taking cardiac. So as these new programs that we're adding, this is as a direct impact of them telling us what they're needing. And then these graduates are sequentially, these are the places where they are getting hired.
Jeffrey Cohen: Got it. And then one more, if I may. As far as placements goes, currently, are you placing any students outside of the state? And are you placing any students outside the U.S.?
LeeAnn Rohmann: So outside of the U.S., we have not had much, if any, experience, maybe a few that have crossed over into Canada. But when it relates to us placing students outside of California, that's going to be -- it would be when the student is actually transferring out from there. They're not actually enrolling in our campuses to obtain education and then to participate outside the state. There's anything that I would kind of circle back with is as both Jeff and Mike continue to ask about just our M&A activity as we have also mentioned in the past that we're ready to do the next greenfielding, and we will continue to make sure that at the same time that you are looking at announcements that we would be making in the next 6 months for M&A, we have experience in greenfielding and identifying the right locations outside of California where we could do that.
Operator: As there are no further questions at this time, I would now like to turn the call back over to LeeAnn Rohmann for closing remarks.
LeeAnn Rohmann: Thank you, operator, and thank you all for joining us. Q1 fiscal 2026 marked a strong foundation with robust continued growth, strategic progress and confidence in our financial and operational discipline. We remain deeply committed to our mission, training exceptional health care professionals to strengthen our nation's workforce and improve lives every day. To our employees, our students and our shareholders, I want to continue to thank you for your trust and partnership. We are on track, well positioned and poised to deliver an outstanding year. Back to you, operator.
Operator: Thank you. Ladies and gentlemen, this concludes today's call. Thank you for joining us, and have a great day.